Operator: Good afternoon and welcome to the Fourth Quarter and Fiscal Year 2021 Calavo Growers Earnings Conference Call and Webcast. [Operator Instructions] I will now turn the conference over to your host, Julie Kegley, Investor Relations for Calavo. Thank you. You may begin.
Julie Kegley: Good afternoon and thank you for joining us today to discuss Calavo Growers fourth quarter and fiscal year 2021 financial results. This afternoon, we issued our earnings release and it is available in the Investor Relations Section of our website at ir.calavo.com. With me on today’s call are Steve Hollister, Interim Chief Executive Officer of Calavo and Mariela Matute, Chief Financial Officer. We will begin with their prepared remarks and then open up the call for your questions. Before we begin, I would like to remind you that today's comments will include forward-looking statements under the Federal Securities Laws. Forward-looking statements are identified by words, such as will, be, intent, believe, expect, anticipate or other comparable words and phrases. Statements that are not historical facts, such as statements about expected improvements in revenue and operating profit are also forward-looking statements. Our actual results may vary materially from those contemplated by such forward-looking statements. Discussion of the factors that could cause the material difference in our results compared to these forward-looking statements are contained in our SEC filings, including our reports on Form 10-K and 10-Q. With that, I'll now turn the call over to Steve Hollister.
Steve Hollister: Thank you, Julie, and good afternoon, everyone. We appreciate you joining us today. 2021 was a difficult and challenging year, but we finished the year strong and were off to a good start in fiscal 2022. As we entered the fourth quarter, market conditions that we experienced in the third quarter continued. Labor shortages, suboptimal raw materials at higher prices and high frieght costs weighed on the business. Throughout the quarter, as we predicted, market conditions improved along with our ability to manage them. We saw sequential improvement from August through October and we continue to see this improvement as we sit today about half way through Q1. Despite the difficult year, we remain committed to paying a dividend. We announced the $1.15 per share annual dividend, consistent with last year and continued the tradition of paying a dividend every year since the company became public in 2002. Now, I'd like to spend some time discussing the overall trends affecting each of our business segments. Trends for our core avocado business were favorable. U.S avocado demand continues to grow with per capita consumption exceeding 9 pounds per person, which is double the consumption rate from 10 years ago. We believe that healthy eating trends will continue in the U.S and that avocados with their favorable nutrition profile will continue to be popular among health conscious consumers. We also believe that year round availability of imported avocados and changing U.S demographics will favor increased demand. As an example, approximately 19% of the U.S population is Hispanic, and that population count is expected to double by 2050. With avocados being a staple among Hispanic consumers, overall avocado consumption is expected to continue trending upward, which would naturally benefit our Fresh and Food segments. Value added fruits and vegetables have also continued to grow faster than their broader produce categories. We continue to see improved demand for our products that are popular with health conscious and time constraint consumers who place a premium on convenience foods like those produced in our RFG segment. In addition, our guacamole and salsa products, while being affected by the pandemic in foodservice channel have strong long-term prospects as well. Due to some recent news, a couple of weeks ago, the state of police Mexico was verbally approved to ship fresh avocados into the United States beginning around the middle of next year. And as many of you know, Calavo has a state-of-the-art packing facility in Jalisco. From what we understand, individual growers and packing sheds will have to be recertified or shipments are allowed, and we believe only [technical difficulty] Mexican states that currently have the facilities that comply with certification requirements. While we have international customers for the avocados packed from Jalisco, opening up to the U.S will give us more flexibility to manage the changing market dynamics by better balancing supply with demand which should translate into higher margin opportunities. I would now like to provide an update on Project Uno, which picked up speed in the fourth quarter. To date, key actions have included realizing price increases across our RFG and foods customer base; continued unification of our supply chain across our three divisions to drive synergies from operating as one company; [technical difficulty] approximately 5% of less profitable SKUs and consolidating RFGs food processing operations in Florida into our Georgia facility, which will improve capacity utilization. We're optimistic with our Project Uno initiatives as we are beginning to see improvements in systems with automation and sourcing. We expect the total annualized EBITDA increase of $70 million as compared to the current run rate, which we expect to be fully realized by early to mid fiscal 2023. As I said on our last call, total one-time cost of the program are expected to be approximately $30 million, which include professional fees, restructuring costs, and capital investments. On the corporate governance front, we confirmed our plans to reduce the size of our Board over time, from 11 to 9 Directors from a higher 13, which is more in line with our company our size. We recently welcomed Adriana Mendizabal to our Board as an Independent Director, and Scott Van Der Kar has decided to retire from the Board effective January 3, after 27 years of service. I know many of you listening to they are interested in our search for a new CEO. The process is nearly complete, as we are in the final rounds of interviews with several strong candidates, all with impressive skills and experience. I'm honored to serve as interim CEO as long as I’m needed, but I believe we will have a new leader in place in the very near future. And finally, I would like to welcome two new members to Calavo's Executive Leadership team. Graciela Montgomery, our first Chief Human Resources Officer, and Mariela Matute, our new Chief Financial Officer. Graciela brings 30 years of HR experience to the table and she will play a key role for our next major phase of the growth. Mariela Matute has an impressive background of financial expertise and agricultural and food industry experience that uniquely qualifies her for the role of Calavo's CFO. Mariela is already effecting change and has embraced Project Uno by streamlining processes and procedures within the finance group. She is focused on improving our methods of planning, forecasting and measuring results to enable the long-term growth of Calavo. We're very happy she joined our team, and we're glad to have her with us on the call today. With that, I'll now turn the call over to Mariela.
Mariela Matute: Thank you, Steve, and good afternoon, everyone. It has been a pleasure working with Steve and the rest of Calavo's management team in the 2 months since I came aboard. While the company has made progress in its efforts to counter the market disruptions caused by COVID, there is more work to do. And I'm excited to lead the finance team in those efforts. I also look forward to connecting with all of you, our investors and analysts in the coming quarters as we communicate our progress towards improved profitability and return on investment. Following our press release, let me provide you with further insight. I will start with revenue. On a consolidated basis, fourth quarter revenue increased by 17% year-over-year. The increase was mainly driven by a 26% increase in the Fresh segment where we achieved a 37% increase higher average selling price for avocados. This was offset by a 7% decline in volume. The higher pricing was due to a better market Environment. The lower volume was due to a suboptimal sizes early in the quarter, which affected our product mix. Revenue was up 7% at RFG, driven by 2% higher volume and 5% average selling price due to both a favorable product mix and price increases. Our food segments delivered 6% higher sales in the quarter, mostly due to higher volume from foodservice customers in addition to price increases, a shift on certain product line. With respect to our Project Uno pricing initiatives as Steve mentioned, we have been successful in implementing price increases across our customer base in both RFG and Foods, which contributed most of our benefits we'd recognized in the fourth quarter. We expect to see an additional revenue lift in the first quarter of 2022 from this price initiatives. Now turning to gross margin. Our year-over-year decline in gross profits and margins was mainly due to the same factors that affected our third quarter results. In Fresh, it was driven by lower volume and lower per carton margins. Margins [indiscernible], where we were selling fewer and smaller avocados from the end of Mexican summer crops. By a [tower] [ph] Mexico's regular crop was in full swing and producing larger foods, and therefore, with experienced margins at the high-end of our historical averages. This dynamics continued into November and December, which give us confidence that we will see improved results in our Fresh segment for the first quarter of 2022. At RFG, gross profit was down nearly $8 million year-over-year, due to market wide pressures of higher labor materials and freight costs. We are starting to see positive traction from our Project Uno initiative, including price increases, SKU rationalization and facility consolidation. This has begun to show in our results as we delivered a $5.4 million sequential improvement in gross profit from the third quarter. In the Food segment, margin were pressured as well, mainly due to higher year-over-year avocado and labor cost. Turning to SG&A, which was basically in line with our expectations for the quarter. After adjusting for approximately $1.7 million of restructuring expenses, which are aligned in the adjusted EBITDA reconciliation in our press release. During the quarter, we also recorded $9.7 million in charges related to asset impairment and other anticipated restructuring costs with respect to the RFG Florida facility closure as part of Project Uno. The cash component of this charge is approximately $350,000. As a result of these actions, combined with moving production to other locations, we anticipate an unrealized profit improvement of approximately $4 million to $6 million. With respect to Project Uno, we realized approximately $2 million of profit improvements in the fourth quarter from our efforts. We expect to see gradual and increasing improvement in each quarter of the current fiscal year and we will update you on quarterly basis as we make progress. Now turning to over financial position. We ended the quarter with $141 million of cash, liquid investments and available debt capacity. We continue to have strong financial position and low leverage. That allows to invest in our current infrastructure to drive future growth and improved profitability. Despite the challenging circumstances, we generated cash from operations of $13.6 million for the year, doing a good job of managing our working capital. In December, we amended our credit facility to reflect our lower adjusted EBITDA and the gradual return to historical levels of profitability. As part of the amendments, we have received temporary relief in our financial covenants. In consideration for these amended terms, we agreed to a 50 basis point increase in our interest rate and pledge our Limoneira shares as a collateral. As of today's date and based on the amendment facility, our current liquidity is temporarily reduced by approximately $25 million, given the pledging of our Limoneira shares. Now turning to our outlook. As Steve said, the long-term outlook of business remains favorable. With the current market conditions, it is difficult to predict when industry wide inflationary pressures on materials, freight and labor will ease. We believe that our operational initiatives undergoing price increases will offset this pressures. We are optimistic about the early returns that we're seeing from Project Uno and are confident that we will generate improved quarterly results on a sequential basis as we move into fiscal year 2022. With that, I will return the call to operators over for questions. Thank you.
Operator: [Operator Instructions] Our first question is from Benjamin Bienvenu with Stephens. Please proceed with your question.
Benjamin Bienvenu: Hey, good afternoon, everybody and Mariela thanks for the color. Nice to meet you via the phone. I want to ask on following up on that commentary around gradual improvements sequentially as we move through fiscal 2022, recognizing that you do have reduced visibility at the moment. Is there any incremental disclosure or color that you could offer around how we should think about the progression as we moved through fiscal '22? And then also, what are the major milestones in either Project Uno or otherwise in achieving improved profitability as we move through the fiscal year?
Mariela Matute: Hi, Ben, thank you and nice to meet you over the phone. With Project Uno to deliver proportional benefits every quarter sequentially as we roll out our pricing initiatives, our SKU rationalization program and our asset optimization. While we expect to come from low that is the investments that we have to do to roll out Project Uno and realize the benefits. So I will model Project Uno benefits a sequential improvement on a prorated basis with investment at the beginning of the program.
Operator: Hello.
Steve Hollister: Ben, do you have any more questions?
Benjamin Bienvenu: Oh, I'm sorry. Can you hear me?
Mariela Matute: Yes, we can hear you.
Steve Hollister: We can now.
Benjamin Bienvenu: Okay, perfect. Steve, you made some comments around the favorable development associated with Jalisco?
Steve Hollister: Right.
Benjamin Bienvenu: Can you give us some sense of the size of that facility. And if you are able to start to ship by middle of next year, give us a sense of the timeline or the timeframe for ramping that facility to what you would expect to be a targeted capacity utilization? Maybe just kind of unfold for us how you would expect that to mature.
Steve Hollister: Sure. Well, as it stands right now, Jalisco is going to be approved as of April next year for shipments into the United States. And as anybody who has done business down in Jalisco knows their crop matures at a different time of year than the Michoacan crop does. And in fact, April would be about the perfect time to start it up because that's when their crop is going to start hitting full stride. Now majority of the process that's done there, and it's a large facility, but it's probably half the size of our facility in Michoacan. But that facility will still primarily handle fruit going out of the country to the far East and to Europe. And so, that all it's going to do there's it's going to allow us to have another avenue to come into the United States to help with maybe some irregularities in sourcing and pricing. And so we're looking at it just a total win-win for us, being able to utilize that we have growers down there that are very excited about this happening. So it's a big positive.
Benjamin Bienvenu: Okay, great. And just as a quick follow-up to that. Should we be thinking of this, even if we can't put hard numbers around it? Should we be thinking about it more as a margin opportunity for you all or a volume opportunity for you all?
Steve Hollister: Yes, that's a good question, Ben. I would probably say both. It's going to allow us to certainly move a lot more product out of there. But the production in Jalisco is probably akin to what you would find in the United States. So it's not a volume that you would get out of Michoacan. So it will just be another avenue for us to fulfill the needs of the United States as far as shipping in the United States, but it's definitely a great step in the right direction to have another state Mexico open up for shipments in the U.S. From our standpoint, being able to have two sources of product and if not three or four, during that time of year is just going to benefit the consumer is going to benefit us by providing a stable supply of avocados, and we work on margin anyway. We don't take positions in fruit. So, it's a positive for our organization definitely.
Benjamin Bienvenu: Okay, great. Thanks so much. Best of luck.
Steve Hollister: Thanks, Ben.
Operator: Our next question is from Mitch Pinheiro with Sturdivant. Please proceed with your question. Mitch, your line is now open. Mitch, are you there?
Mitchell Pinheiro: Can you hear me now?
Steve Hollister: Yes.
Operator: Yes, we can hear you. Go ahead with your question.
Mitchell Pinheiro: Yes. Sorry about that. So, just staying on avocados for a little bit. The -- so pricing is up and you still see some challenges, you said you're seeing improvement. Are you seeing improvement in the mix, the grades? Are you seeing -- where is the improvement coming from?
Steve Hollister: Primarily in the avocados, which right now, the U.S hasn't really started yet, that'll start next month. So everything we get right now still out of Michoacan. The improvement is that we're into the new crop, whereas at the last earnings call, we're just starting the new crop. So we're well into it at this point in time. And the price is up primarily because the -- nobody is really sure exactly what the crop is going to be in Mexico. It fluctuates widely from predictions to actuals and there's a lot of factors at play as well. From a sizing standpoint, earlier in the season, we were getting a lot more small fruit. And now that fruit has had a chance to mature as we moved into some of the different picking areas. And so we're getting larger sizes that are more desirable. And -- but we haven't really hit a stride with the Mexican growers as far as a regularity of picking schedule. And so there -- the variances each day could be fairly wide from what we think is going to happen to what actually gets picked. So that's why you see the continuing pressure on pricing to remain high. We think that's going to change here in the near future as they start to pick a little more. And of course, we have Super Bowl coming up, and that's always a big event for the fresh avocado market.
Mitchell Pinheiro: So do you -- so with the largest supply, I mean, you're anticipating maybe pricing pulling back a bit, but is it at the point where you can have decent visibility on your gross margins?
Steve Hollister: Oh, absolutely. And in fact, with prices are higher, again, we work on percentage margins, the -- I guess theoretically, we should be making more money at higher prices. But we'd like to move a lot of volume. Now that lowers our packing costs and everything else too. So there's always going to be a sweet spot near that you try to hit. And -- but I expect though as we start really getting the volume ramping up and seeing some of the other production areas around the world come in, that the added increase in volume is going to benefit at least as much as the increase in prices that we're seeing right now.
Mitchell Pinheiro: And does -- and when it comes to -- I know the projections vary, but California should have a stronger year-over-year for California, so that'll help volume. Is Mexico going to have a -- I think it's going to have a better crop for the full year as well?
Steve Hollister: There's -- that's been actually debated quite a bit recently, whether it's going to be higher or lower or the same. So it's going to be one of those. I tend to believe it's probably going to be closer to what we've seen in the last year or two.
Mitchell Pinheiro: And what's the issue there? Is it agronomic? Is it a grower packer tug of war? What's happening? Why wouldn't Mexico be showing a little more growth than it is in volume?
Steve Hollister: And I have in time, actually planning on going down to Mexico here shortly to kind of take a look around and meet with some growers. But what I think we're seeing at this point in time is mostly agronomic. The groves in the Michoacan area we are picking benefits our plants are anywhere from say 5,000 foot elevation up to about 7,500 feet. And so it's very high and you get wide variances in weather and micro climates on that. But it's -- a lot of it is also naturally irrigated. And so you're going to see naturally see a wide swing in production capacity. And again, we don't know how much of it's going to move into the domestic market down there as well. So I would say that's for Michoacan. I know there are a lot of plannings out there, that should be coming into production here shortly and ramping up. But there's other places around the world that are increasing their production capacity as well, so.
Mitchell Pinheiro: Moving on to RFG, when it comes to -- you've closed Jacksonville, that increased in your facility utilization, we should start to see that have an impact on gross margin right away, or am I missing something?
Steve Hollister: No, you're spot on. In fact that -- I don't want to hog the air waves. Mariela, would you like to address that?
Mariela Matute: Sure. Hi, Mitch. Yes, so the savings expected from the closure are between $4 million and $6 million annualized. And you're correct, as we move to the production to our Georgia facility, we will see those benefits as we serve those customers.
Mitchell Pinheiro: And what -- so, what are your customers saying right now? I mean, a year and a half ago everybody was converting to pre-packaged items and certainly with the easing of the pandemic, so we think it looks like I've seen much more open -- back to open containers self serve kind of things happening. Where are we in that? Is it going to be a mixture? Do you guys benefit one way or the other based on how it's delivered? Can you talk a little bit about like what you're seeing sort of from an a product point of view?
Steve Hollister: Mitch, yes, if I can take this one. We continue to see fruits and vegetables in these prepackaged forms to continue to grow faster than the broader produce categories and we will capitalize on that improved demand. So over the long-term, I see these as megatrend that will benefit [indiscernible].
Mitchell Pinheiro: Sorry about that, I got a dog here. So what about -- I mean, you're talking a bit about like packaged sandwiches and wraps and some of those products. I mean, is that still a growth avenue for you? Or is this part of -- are we seeing some SKU rationalization in some of these areas?
Steve Hollister: I'll take care of that, Mariela. Mitch, what we do is, all of our plants are equipped to handle a variety of different products that our retail partners would want, be it from just cut veggies and fruits to prepare for fruits and vegetables and meals and things like that. So the consumers have made it known that they like the convenience foods, they just like healthy options wins coming to that. And so I don't think we're ever going to go backwards in that regard. And in fact, we plan for that in some of our strategy. And we see it with our competitors out there as well and our retail partners are asking us for more and more solutions. So we're hoping it comes down to a margin thing. So we're just -- we're all trying to deal with the increased costs that we're having to address on a regular basis. We know our competitors are as well. So it's something that everybody is trying to get their hands on at this point in time to figure out exactly where we're all going to make money in this regard. And so the SKU rationalization had to do with a number of items that maybe we weren't selling very much of and you take a look at the contribution margins, a number of different things. But it's really been a very good cooperative relationship with our retail partners and ourselves as to coming to profitability things that work for them and also work for us.
Mitchell Pinheiro: And just one more is just on the Calavo Foods business. When do we -- when should we expect to see that margin normalize? You typically have been pushing a 30% gross margin in that business. And I know for variety of factors, last couple of quarters it's been below that. But is this something where we just need to see food costs come down?
Steve Hollister: Well, let me take a swing at that one. Obviously, food costs is one of our two major components that and labor down in Mexico and the ability to get fruit in there. Again, that kind of stretches back to what I was talking about with fresh avocados as well, is it being able to get a real steady supply of fruit in there. We can deal with pricing fluctuations and the cost of the fruit. But when it's constantly changing and without having the ability to in real time to go to your retail partners and change the pricing that you need, it's taken us a little while to adapt to this realization. But what we're seeing right now, we're more approaching where we were historically. And we're looking forward to getting back to that on a regular basis.
Mariela Matute: Yes, if I can add, its moving in the right direction.
Operator: Thank you. Our next question is from Ben Klieve with Lake Street Capital Markets. Please proceed with your question.
Ben Klieve: Thanks for taking my questions. Just a couple for me. First, on the kind of building on the Jalisco opportunity here. Wondering if you can elaborate on the -- on that facility currently, if it's operating kind of at/or near capacity. And then also elaborate on if, this news affects your kind of CapEx outlook for that segment, specifically, if there's -- if you see an opportunity here to increase utilization or the capacity of that plant, excuse me.
Steve Hollister: Well, let me address the utilization of the plant, then Mariela can address the CapEx portion of it. It's -- we've been a partner in that with the growers for a number of years now. And it hasn't been operating close to capacity. There's currently a lot more opportunities there to really add value added products to our mix, and particularly as we start doing more overseas, that facility is just made for that. As far as what is going to do in the U.S, we can start ramping it up and having that as just another outlet for us. And I think the opportunities there are endless for us really at this point in time, certainly greater than what we've been taking advantage of.
Mariela Matute: And for the capital investments question, we have a plan to invest up to the levels we have invested in the last year. Most of the investments are planned for increasing automation across our facilities both in Mexico and the U.S.
Ben Klieve: Got it. Got it. Perfect. And the only other question for me on kind of high level here, with all these, various initiatives that you're that undertaking, what are you and the Board comfortable doing currently versus maybe waiting until you have a permanent CEO in place. Is there anything that you guys are holding back on from a restructuring perspective here until you have a full CEO in place? Or is it kind of full steam ahead and whoever you bring in will just inherit whatever has been done?
Steve Hollister: Well, let me take an answer at that one. When I came in and sat on the desk, my goal was to further the Project Uno things that are already begun. And to keep things moving forward, I just didn't want to be a warm body in the Chair. So we've been at full speed ahead, trying to make all the improvements necessary to increase our profitability, reduce our expenses, all the things that a good business would do on a regular basis. And my goal was to have those initiatives all in place up and running, so that when we have a new CEO come in, which I think will be very soon, that he would be able to just take the reins, and take it and put his stamp on it moving forward. So all the things that we've talked about are already underway.
Mariela Matute: Ben, if I could add to Steve's comment that we do have in the ground more than 40 initiatives resulted from our Project Uno, and we're not waiting. So one of my primary priorities is to execute on Project Uno and they are all profit improvements initiative that will make RFG and entire network is stronger for what's coming.
Ben Klieve: Got it. That’s good to hear from both of you. Very good. That does it for me. I'll jump back in queue. Best of luck here in the new year.
Steve Hollister: Great. Thanks a lot.
Operator: Our next question is from Eric Larson with Seaport Research Partners. Please proceed with your question.
Eric Larson: Yes, thank you, everyone for the question. Mariela, I extend my congratulations to you. I look forward to working with you and I wish you absolutely the best of success at Calavo. So my first question really is this. It's more of a strategic question. So under your previous CEO, you started Project Uno, right at the top -- well, just before COVID hit? And what's the timing of trying to consolidate three supply chains into one? Or there abouts something similar to that argument? Was that just for timing? Or was it good timing? Can you give us a flavor of where you'd be if you were without Project Uno or not? I mean, I guess it's a difficult question to answer, because it's very broad based. But the question is, was it good or poor timing to start Project Uno?
Steve Hollister: Let me answer that a little bit and then Mariela, you can chime in if you'd like. We did Project Uno, we were already under the plan for one Calavo, which was to bring everything under the Calavo name and utilize it that way, and including bringing our various business units under it, and consolidating some management and some SG&A expenses and like. When we started Project Uno, all I did was just say, maybe there's some other things that we need to be taking a look at. And now would be a good time to do it. I mean, COVID -- who predicted COVID, and, of course, all the supply chain issues that are raised how to deal with, those have been challenging enough. But we also saw the opportunities by doing the Project Uno with Teneo [ph] and having come in and do a deep dive into some of our processes, and take a look at our business from all different angles to see how we might build and improve it. And I have to say, having been at the forefront of this thing and seeing it from my desk, that has been a very worthwhile project for us. And while it hasn't necessarily been inexpensive, we're going to be reaping the benefits of their work for many, many years to come. So I would say that the timing is excellent on our behalf, and on our behalf, we continue to think that.
Eric Larson: So, Steve, when you say it hasn't been inexpensive? Is it -- has it not been inexpensive from a capital basis or from a margin basis or from a growth basis? So can you elaborate on the inexpensive part of your comment?
Steve Hollister: Well, when I said it hasn't been inexpensive. Its cost closing facilities are never easy, and they're never something that you do on haste because it affects people's lives as well as your customers and everybody involved. But sometimes we have to do things like that in order to make a step forward. That's been what we've recognized with the Jacksonville facility is that we were able to move the production there up to our Georgia facility and now that facility is operating at full speed. And what I also meant as far as Costco, when you hire a consulting company to come in, there's costs associated with that. But they're also giving you the ability to focus on things that you would in your normal day to day activities, just because you're trying to run a business. And so we've utilized them to help us get a better understanding of all the things that go into our RFG operation as well as some of the other things we do regarding transportation and the like. So the cost, as we outlined is we projected to be $30 million over 2 years. And a fair amount of that's already been recognized. So closing facilities and looking at our CapEx expenditures. So it's a -- we're well underway. So the results you're seeing are taking into account some of those costs that we had already told you. We were going to be bearing.
Eric Larson: So is part of this ability to reduce your labor costs, you're dealing with -- you're dealing with RFG. I think one of the major percent company is your fresh avocado business, you've proven that you can manage that business through inflationary and deflationary times. RFG is a little bit different. In that, you're still dealing with gross margins on average, that are pretty well below your fresh margins. And those margins are well below the average package food industry. So with all the increased labor costs, and all the things that we're talking about, and I understand you're taking pricing, and that's good. But with, let's say, average, 7%, 8%, 9% margins in RFG, are you going to be able to hold those or improve them is, because it's a competitive -- it's a really competitive industry out there. You don't have a lot of market share in that business. So I guess, is there something structural here that we should be paying attention to, that we're not really talking about?
Steve Hollister: We utilize automation any chance we can. And we're always taking a look to see what new equipment out there and makes financial sense for us a good return on invested capital in the problem we've had is that for a lot of the processes that we do, and I think our competitors would say the same thing. Some of it just has to be hand cut, and hand processed and the automation does not take care of everything that you're looking to do. So when I say that we're looking at trying to get a hold of our costs and labor -- obviously, labor costs have gone up. I would say since the last earnings call I had 3 months ago, our labor force has come back more towards normal levels than we were dealing with during the massive amount of COVID departures. So our labor is stabilized to a certain degree. From a costing standpoint, all of our retail partners have been amenable to the price increases, and they continue to be amenable to it, recognizing the real cost involved. Now what we have to do there is make sure that we're good stewards of their money as well as our own. And in enacting judicially to be the best partner we can.
Eric Larson: All right, thank you. I appreciate the comments.
Steve Hollister: My pleasure.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to Mr. Steve Hollister for closing remarks.
Steve Hollister: Thank you. I'd like to thank everybody for attending our conference today. And we were pleased to be able to present our quarterly results and fiscal year results and looking forward to visiting with you all again in the new year with the next quarterly earnings call. Thanks again. We'll talk to you soon.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.